Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2009 Gildan Activewear earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Miss Sophie Argiriou, Director Investor Communications; please proceed.
Sophie Argiriou: Good morning everyone. Thank you for joining us for our fiscal 2009 third quarter conference call and web cast. The press release and our interim quarterly shareholder report containing management’s discussion and analysis and consolidated financial statements are available on the Investor section of our website at www.gildan.com and will be filed with the Canadian securities regulatory authorities and the US Securities Commission. I am joined here today by Glenn Chamandy, our President and Chief Executive Officer; and Laurence Sellyn, our Executive Vice President and Chief Financial and Administrative Officer. I would like to remind everyone that certain statements included in this conference call may constitute forward-looking statements within the meaning of the US Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties, and other factors which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company’s filings with the US Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company’s future results. I would now like to turn the call over to Laurence.
Laurence Sellyn : Good morning, this morning we reported our results for our third fiscal quarter. EPS before restructuring charges which relate primarily to the consolidation of our sock finishing operations which we announced on December 11, 2008, was $0.37. Before the positive impact of income tax recoveries relating to prior years, EPS was $0.32, slightly above our internal forecast for the quarter and $0.03 above the consensus of analysts [following] the first call. The $0.05 income tax recovery in the quarter results primarily from the finalization of the Canada Revenue Agency’s audit of our 2004 to 2006 fiscal years and further confirms the settlement of our 2000 to 2003 audit concluding that the CRA would continue to accept our transfer pricing methodology. Adjusted EPS of $0.32 for the quarter was 31.9% lower than the third quarter of last year due to lower unit sales volumes, and lower gross margins due to unfavorable product mix and promotional discounting in the screen print channel. The third quarter of this year comprised the normal 13 weeks compared with 14 weeks in the third quarter a year ago. Every fifth year the third quarter of the fiscal year includes an extra week in order to realign our 52 week financial reporting cycle with the calendar year. Including the impact of the week less of sales this year net sales were $308 million, down 19.2% from the third quarter of last year. Sales of activewear and underwear were $258 million, down 15.6% from last year and sales of socks were $50 million, down 33.6% from the third quarter of last year. The decline in sales of activewear and underwear was due to four factors, more unfavorable activewear product mix reflecting a lower proportion of sales of fleece and long sleeved T-shirts as well as a higher proportion of sales of irregulars as we continue to run down our inventories of second quality products. Secondly, a 2.6% decline in activewear net selling prices due to increased promotional activity in the wholesale distributor channel compared to last year which more than offset the benefit of success of increases in gross selling prices. Thirdly the impact of the stronger US dollar and selling price realizations for Canadian and international sales, and fourthly a 3.5% decline in unit sales volumes. The reduction in unit sales was due to a 16.6% decline in overall industry shipments from US wholesale distributors to US screen printers which negatively affected Gildan shipments in the quarter by approximately 1.5 million dozens, and the difference in the number of weeks of sales which impacted shipments by approximately 700,000 dozens. These factors were however largely offset by the replenishment of inventories in the distributor channel primarily to replenish Broder subsequent to their successful debt restructuring and by the impact of our year over year increase in market share. Last year our inventories in the channel were significantly reduced during the course of the third quarter due to production constraints. Activewear shipments to imprinted private label customers increased significantly from a small base and shipments to international screen print markets were also up in spite of global economic conditions. Market share increased in all product categories in the US distributor channel compared to the third quarter of last year. Market share in the 100% cotton T-shirt category was 62.3%, similar to the second quarter. Market share declined sequentially in 50/50 T-shirts and fleece compared to the second quarter due to our decision to manage our credit exposure and reduce shipments to Broder during the second quarter which limited their sell through of Gildan products in the first two months of the third quarter. Another related issue to arise from Broder’s conference call two days ago, is that they indicated they continue to have close to $80 million of excess inventories. Broder has confirmed that none of these excess inventories consists of Gildan products. Overall industry inventories to the US wholesale distributor channel at the end of the third quarter were down by 13.2% compared to a year ago and days of finished goods inventories in the channel were in good balance. Gildan’s share of distributor inventories was 49.5% which was well below our market share so the demand for Gildan products exceeds our share of inventories in the channel. The reduction in sock sales in the mass retailer channel compared to the third quarter of last year was due to three factors. One, the loss of the extra week which impacted sock shipments by close to a million dozens, secondly the discontinuance of certain sock product lines and programs last year which impacted unit sales in the third quarter of this year by close two million dozens, and thirdly the timing impact of year over year fluctuations in inventories at the retailer level. In the third quarter last year the timing of replenishment of inventories by major retail customers positively impacted our sales volumes by close to one million dozens, while in the third quarter of the current year the phase out of private label brands being replaced and upgraded resulted in a net reduction of retailer inventories of over half a million dozens. We are pleased with the sales performance of our continuing programs during the quarter particularly in the context of the current market conditions and the initial performance of our new private label brands has been very strong continuing into the fourth quarter. For the fourth quarter we are projecting a relatively modest decline in sock sales compared with last year as the year over year impact of discontinued lines is projected to be partially offset by growth in new and continuing programs. The company’s main strategic thrust and focus of our energies continues to be to pursue major new retail programs in underwear and activewear. Our objective is to secure strategic new programs which will be meaningful to our sales growth in fiscal 2010. We are progressing well with discussions with retailers but we cannot jeopardize our success by giving more information on specific programs at this stage, especially given the competitive sensitivity of such information. We reiterate that we continue to believe in our business model for retail and we continue to believe that we will achieve important new retail programs for shipment in year in fiscal 2010. In addition to pursuing activewear and underwear programs we are also actively discussing new sock programs. Our operations and supply chain in central America continue to be unaffected by the continuing political uncertainty in Honduras and we have no reason to believe that the Honduran situation which also involves all of our major competitor will have any impact on our current or future business with our wholesale or retail customers. Gross margins in the third quarter were 24.4%, compared to 26.6% last year and 15.8% in the second quarter of the current fiscal year. Compared to last year the reduction in gross margins was primarily due to the lower net selling prices, which reduced margins by approximately 260 basis points, the impact of the stronger US dollar on sales realizations in Canada and international markets which reduced margins by approximately 160 basis points, more unfavorable product mix which reduced margins by approximately 130 basis points, and higher cotton costs which reduced gross margins by approximately 120 basis points. These factors were largely offset by the impact of lower manufacturing and energy costs which favorably impacted gross margins in the third quarter by approximately 450 basis points in spite of manufacturing down time taken in the third quarter to balance activewear inventories. Compared to the second quarter the significant improvement in gross margins was primarily due to more favorable manufacturing efficiencies, and favorable product mix as well as slightly lower cotton costs. Increased promotional activity compared to the second quarter negatively impacted gross margins by approximately 120 basis points. Gross margin trends improved on a monthly basis during the third quarter. Gross margins are expected to improve slightly in the fourth quarter compared to the third quarter as we are assuming further increases in promotional pricing activity in the screen print channel which are projected to partially offset the projected benefit of more favorable product mix and lower manufacturing and cotton costs. The third quarter was the first fiscal quarter in which Gildan’s competitive cost structure was significantly impacted by our decision last year to fully cover our cotton costs before the precipitous plunge in cotton and other commodity prices. Our cost of cotton consumed during the quarter was $0.64 per pound. Our cotton costs will decrease slightly next quarter and successively over the next two quarters as we consume the balance of our previous cotton commitments. Cotton costs have now recovered to the level at which we previously covered our requirements and futures for December delivery are currently approximately $0.64 per pound. Cotton costs for the first half of fiscal 2010 will be materially below the peak levels of the first half of fiscal 2009. The EPS impact of lower unit sales and lower gross margins in fiscal 2008 was partially offset by lower SG&A and financial expenses. SG&A expenses declined by $3.6 million from the third quarter of last year due to reduced distribution costs, the impact of the lower valued Canadian dollar and corporate administrative expenses, and the non-recurrence of a bad debt provision in the third quarter of last year. These positive factors were partially offset by higher legal costs and the timing of accruals for performance related variable compensation expense. Excluding the impact of the prior year income tax recoveries and the tax benefit related to the restructuring charges in the quarter the effective income tax rate for the third quarter was 2%, compared with 5.8% for the third quarter of fiscal 2008. The reduction in the effective income tax rate reflected the lower proportion of profits earned in Canada due to lower sales and margins in the Canadian wholesale distributor channel and lower profits earned in the US due to the closure and relocation of US sock finishing operations. Subsequent to the conclusion of the CRA tax audits for 2000 to 2003, and 2004 to 2006, we continue to be comfortable with our low consolidated tax rate for future years in line with the company’s historical tax rate. We generated very strong cash flow in the quarter. EBITDA was $58.1 million, and free cash flow amounted to $78.5 million. We ended the quarter with net indebtedness of $18.5 million, leaving significant capacity and flexibility in our $400 million revolving bank credit facility which does not mature until 2013. Inventories were reduced by $39.2 million compared to the end of the second quarter as finished goods inventories of activewear were reduced by approximately 2.5 million dozens. Inventories were $48.7 million higher than the end of the third quarter of fiscal 2008 when inventory levels were constrained by production issues. Further manufacturing down time will be scheduled as required late in the fourth quarter to manage activewear inventory levels based on the outlook for end use demand and the level of replenishment by wholesale distributors. DSO and receivables were reduced to 41 days compared to 51 days a year ago and 45 days at the end of the second quarter. The difference in DSO compared with last year was primarily due to the later timing of fleece shipments this year. A lower proportion of programs this year have been shipped this year with extended credit terms in the third quarter which is expected to benefit fleece sales in the fourth quarter. We continue to be pleased with receivables collections and we are comfortable with our credit exposures. Capital expenditures for fiscal 2009 are currently projected to be in the range of $60 to $70 million in line with our projections at the end of the second quarter. The main capital expenditures in the fourth quarter are for the Dominican Republic biomass project and the new Barbados head office building to provide for the expansion of our sales and marketing headquarters including our infrastructure to support the retail strategy. During the quarter we will be evaluating the timing of incremental expansion of the Dominican Republic textile facility and will also be evaluating options to expand our retail distribution facilities to support our projected growth in retail. We continue to project positive free cash flows in the fourth quarter and to expect to have no debt outstanding under our bank credit facility at the fiscal year end. In summary we are pleased with our performance in the third quarter. We exceeded our internal earnings forecast and analysis consensus estimates and achieved significant improvement in gross margins compared with the second fiscal quarter in spite of having higher cotton costs and competition. The new private label programs in retail have been introduced successfully and we believe we will be successful in securing further new retail programs for next year in both socks and other product categories. We have announced the completion of the CRA tax audit for the next audit cycle which has provided further confirmation of our low tax rate. And we achieved strong free cash flows and continue to have a very strong balance sheet with significant financing capacity and flexibility. We are now ready for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Martin Landry - Desjardins Securities
Martin Landry - Desjardins Securities: Can you give us a little more details with regards to the change over in private label brands, did you lose market share at that retailer.
Glenn Chamandy : No what happened is, every time you change over a program in retail you have to reset the stores so the stores have to wind down their old branded inventory and then replace that with the new updated merchandise and during that transition they bring inventories down and then they bring inventories up and that was really the reason for the decline in inventory. Also the fact that retailers, this back to school, are managing their inventories a little bit closer and that was also a factor in terms of bringing down inventories in the retail channel.
Laurence Sellyn : So the change in our sales was because of inventory changing to the retailer level. Point of sale data for sales from retailers to consumers was up.
Martin Landry - Desjardins Securities: Given now that we’re already mid way through Q4, I was wondering how much down time do you have planned for Q4.
Glenn Chamandy : Similar to Q3.
Martin Landry - Desjardins Securities: If I remember well, you only took one week in Q3.
Glenn Chamandy : No we took roughly about 16 days in Q3.
Laurence Sellyn : In Honduras, a little less and less then that in DR.
Martin Landry - Desjardins Securities: And did you win any retail programs during the quarter.
Laurence Sellyn : As we said we’re actively working on new retail programs which we’re expecting to have a meaningful impact in our sales growth in 2010 compared to 2009.
Operator: Your next question comes from the line of Jessy Hayem - TD Newcrest
Jessy Hayem - TD Newcrest: I just want a bit of a clarification on the sock volume drop, you mentioned in total I think 3.5 million dozens, you have the extra week that was a million, discontinued sock lines two million dozens and then the rest was the timing impact, is that correct?
Laurence Sellyn : I said a million dozens for the extra week, two million for impact of discontinued programs and about 1.5 related to the difference between replenishment last year and de-stocking this year.
Jessy Hayem - TD Newcrest: Okay so it was really all volume, there was no pricing whatsoever drop in the quarter.
Laurence Sellyn : No, there was maybe a little bit of [inaudible] impact but no pricing drop.
Jessy Hayem - TD Newcrest: And them question again I guess on the gross margin, looking to see what they would have been if your cotton costs were about $0.50 per pound in the quarter which I believe is what I think Hanes had in the same quarter that you just reported.
Laurence Sellyn : We provided the sensitivity for every pound of difference in cotton costs which is about $0.3.5 of EPS per pound so from that you can extrapolate that if your cotton costs had been $0.50 instead of $0.64 our EPS would have been close to the $0.47 that we reported in the third quarter last year. And the reason we would have had the same EPS as the third quarter last year is because our margins would have been over 30% compared with the 24.4% so that would have offset the decline in sales volumes.
Jessy Hayem - TD Newcrest: And any color on the cotton hedging so far in fiscal year 2010.
Laurence Sellyn : Well as I said, we’re looking at successive slight reductions in our cotton costs over the next couple of quarters with the differential narrowing in the first half of next year. Into the first half of next year we’re looking at a significant year over year decline compared with the peak cotton costs in the first half of this year.
Jessy Hayem - TD Newcrest: Can you give us a sense of your commitment to continue expanding in Honduras I guess given the recent political instability that we’re [assuming]. You obviously mentioned that this doesn’t seem to be an issue when it comes to wholesalers or retailers for that matter assigning I guess new business to you, but just looking as to your thoughts on that.
Glenn Chamandy : We feel very comfortable, we haven’t had any disruptions. We’re very comfortable with our situation in Central America and we’re continuing to go forward with our committed [expanditures] which is Rio Nance four, and as Laurence said earlier, we’re planning to also evaluate the incremental capacity expansion in the DR this fiscal quarter to support potential opportunities for 2010.
Operator: Your next question comes from the line of Anthony Zicha - Scotia Capital
Anthony Zicha - Scotia Capital: Can you give us some color on the pricing moving into Q4, you said there’s been some promotional activity, we’ve seen also a 2.6% decline this quarter so how are they trending right now.
Glenn Chamandy : Pricing is, so far in Q4, similar to Q3. Its still in the wholesale market is still aggressive, there’s still aggressive pricing in the market and that’s what we’re projecting for the balance of this quarter.
Laurence Sellyn : So we’ve built into, as I said when we talked about a slight improvement in margins in Q4 versus Q3, that takes account of further downward pressure on pricing due to promotional activity in the wholesale channel. That will partially offset our margin improvement from further manufacturing efficiencies and more favorable product mix.
Anthony Zicha - Scotia Capital: So assuming that the declines [inaudible] moving into Q4 can you maybe give us some color on how that effects that you 1000 basis point guidance issue last quarter.
Laurence Sellyn : We were close to that and with a slight improvement we’ll be at that kind of level.
Operator: Your next question comes from the line of Eric Tracy - BB & T Capital Markets
Eric Tracy - BB & T Capital Markets: Maybe just to follow-up on the gross margin a little bit, so I think you said you would have ex cotton, gross margins would have been north of 30% which I think is roughly 300, 400 basis points over last year. Can you talk about the positive pieces driving that relative to I would expect just again from pricing and some deleverage of the model with sales down 19% sort of what the piece there would drive that gain over last year.
Laurence Sellyn : I thought I went through that on the call, if you go back you’ll see that I went through the impacts of each one of the components of the margin increase on the call.
Eric Tracy - BB & T Capital Markets: And then maybe just on the sales line, can you talk about the impact just the replenishment at Broder, how much that contributed to the quarter.
Laurence Sellyn : I don’t really want to give information that’s Broder's information. What I can say is that when you look at the overall change in inventory in the channel which went down last year and up this year, the combination of the two things is probably about 800,000 dozens positive.
Eric Tracy - BB & T Capital Markets: And then on the socks, did you all lose a program with Target in the quarter by any chance.
Glenn Chamandy : No.
Eric Tracy - BB & T Capital Markets: That was just the timing of the inventory de-stocking that you were referring to.
Laurence Sellyn : The change in our sock sales is as I went through in the call, its related to change in retailer inventory levels, and the discontinuance of last year’s programs that happened last year and the actual sell through from retailers is positive.
Eric Tracy - BB & T Capital Markets: So then its not inventories up 17% over last year, when can we expect that, I know you’re going to continue to work down through some down time in Q4, sort of balance the sales, do you have sort of a timeframe of getting that in line with sales.
Laurence Sellyn : We’re comfortable with where we sit just now. We’re planning some down time as we told you at the end of the fourth quarter and I would project based on that that our inventories at the end of the year will be similar to what they were at the end of [2009].
Eric Tracy - BB & T Capital Markets: And then just lastly on the tax, the $0.05 from the recovery, just on a normalized basis 2% in the quarter, what is kind of the normalized run rate we should be thinking about going forward and—
Laurence Sellyn : I’d say something like 5% to 6%, as it has been historically.
Operator: Your next question comes from the line of Sara O'Brien - RBC Capital Markets
Sara O'Brien - RBC Capital Markets: Just wondered if you could run through the volume uptick you’re expecting for next year. I think last quarter we talked about the seven million dozens up fiscal 2010 over 2009, how are you feeling about that given screen print direct opportunity in international and is there any change to where those volumes come from.
Glenn Chamandy : What I said last quarter is that the, we will restock the channel next year by three million which means that we are actually, our distributors are actually selling to screen printers this year in fiscal 2009, three million dozens more than we will ship into the distributors themselves so therefore they de-stocked by three million dozens so next year if business is flat, on a year over year basis we should be able to increase our unit volume shipments to distributors by three million dozen. We have a conservative plan to grow our international markets. We’re growing in Europe, Mexico and Asia Pacific conservatively a million dozens for all those international markets. Our private label screen print area, we plan to increase that by roughly one million dozen and if we gain a small amount of share, let’s say 2%, that would add roughly about one million dozens. So every share gain is worth roughly about a half a million dozens and say conservatively 2%, that would add about a million. That takes you to about six. Then we also said which is an unknown right now is what will happen to the market in the market recovery. And for every 1% that the market recovers, which is down this year by close to let’s say 18% in the last two quarters, but every 1% represents an increase to us of roughly about 300,000 dozens. So a 5% increase could add potentially even another million and a half dozen for argument sake. And as well as, we’re planning to have significant windfalls in retail as well. Not only are we planning to secure new sock programs but we’re also planning to secure new underwear and activewear programs that will be shipped in 2010 and so altogether, we’re very optimistic about our sales growth and opportunities. And we’re looking forward to an exciting year in 2010.
Laurence Sellyn : The one thing I would add is in addition to the, if there is any market recovery in 2010 compared to 2009 that should result in not only growth in the end use demand but also further replenishment by distributors to service that demand.
Sara O'Brien - RBC Capital Markets: You just mentioned the retail opportunity or windfall you call it, is that a windfall like relative to your overall sales now or relative to the retail portion and just wondered if you’d be using your current manufacturing capacity for that or do you have build out in DR for that.
Glenn Chamandy : We still have quite a significant amount of capacity but part of our plan—
Laurence Sellyn : I think answering that question kind of takes us too close to providing sales guidance.
Sara O'Brien - RBC Capital Markets: Okay but you did say meaningful, I think its kind of fair to give us some kind of idea.
Laurence Sellyn : All we can say, I’m not going to quantify that and what you know is that we can provide low cost incremental expansion quickly in the DR to support any sales in excess of the 51 million dozens that we have with our existing capacity.
Glenn Chamandy : And the timeframe for us to add this additional capacity would be relatively quickly.
Sara O'Brien - RBC Capital Markets: And just you had commented on the last conference call that you do typically need kind of a 12 to 18 month window before retail programs get put through on their shelf space, what are you thinking now, what’s different that sort of allows you the confidence to say you’re going to see these wins in 2010 delivery.
Glenn Chamandy : We were talking about our major push initiatives in retail starting in December of last year so we’ve been putting infrastructure, the resources and the commitment behind our retail strategy not just for this year, but we really actually started last year and this is, the hard work will pay off in 2010.
Operator: Your next question comes from the line of Sarah Hughes - Cormark Securities Inc.
Sarah Hughes - Cormark Securities Inc.: Just a clarification on the cotton, you said you expect your cotton costs in the first half of 2010 to have some significant declines in the first half of 2009, just wondering how they would compare to the second half of 2009, would they be fairly similar as you move from the second half of 2009 as you move into the first half of 2010.
Laurence Sellyn : The first half of 2010 will compare with the second half of 2009, is that what you’re asking?
Sarah Hughes - Cormark Securities Inc.: Yes.
Laurence Sellyn : Well I did say that we’re looking at slight successive increases as we go through each quarter and consumer decreases, reductions in our cotton costs as we consumer high cost cotton.
Sarah Hughes - Cormark Securities Inc.: And then just you pointed out the discrepancy in your share of industry inventory levels versus your overall market share in the industry, in the wholesale industry, just wondering how this compared previously and have you seen any change in that as you move through into the third quarter.
Glenn Chamandy : Our share right now is, of our inventory is 49% of the share in the channel versus the over 55% share of actual share. That’s pretty consistent with last quarter and last quarter our share of inventory was about five percentage points below our actual market share. So our product actually turns relatively fast so typically we’re constantly replenishing it at a very quick rate and therefore we typically have less inventory in the channel versus our actual sell through.
Operator: Your next question comes from the line of Doug Cooper - Paradigm Capital Inc.
Doug Cooper - Paradigm Capital Inc.: Couple of things, first on gross margin trends you said that trend is higher in each of the months in the quarter but blended I guess average at 24.4 in the quarter, what did it end up in June.
Laurence Sellyn : I don’t think I want to give out that information. Obviously it was higher than the average and it was higher than what we’re projecting for Q4 because we’re assuming that we have further promotional pricing activity that has a negative effect on the margins in the fourth quarter but even with that, we’ll have, we’re projecting a slight increase between Q4 and Q3.
Doug Cooper - Paradigm Capital Inc.: Just between Hanes and Iconix on their conference calls, Hanes said they were winning I think some branded retail programs in some of the big box retailers, and Iconix said they’re seeing good sell through on their essentially I guess private label business that they’re doing for the big box retailers and talked about line extensions, how do you think investors should look at those two seemingly dichotomous statements.
Glenn Chamandy : We don’t want to comment on Hanes, but we could comment on what Iconix said is that they’ve done a great job in terms of developing the Starter brand at Wal-Mart. Wal-Mart is looking to maximize the value of that brand into all categories. We’ve now just rolled out in our sock programs which are all the basic bag sock programs which is our new rollout at Starter and we’ve positioned these products to be, we think better value and better priced then the national brands right now. So we’ve very excited about the opportunity and Wal-Mart is going to continue to put more emphasis on expanding it into hopefully other categories.
Doug Cooper - Paradigm Capital Inc.: So is it fair to say that your potential program with the retail big box would be line extensions of existing programs that you have.
Glenn Chamandy : I just don’t want to comment on that right now, but as we continue to achieve our initiatives we’ll bring them to market.
Doug Cooper - Paradigm Capital Inc.: In terms of if you’re not in a position to be able to announce big retail wins whether because Wal-Mart or other big box retailers don’t allow you to, if we see, where do you stand on Rio Nance four and five. I think we talked last conference call that you’re sort of shelving those CapEx projects for now. If we see you bring those back online or accelerate those, could we read through that into big retail wins.
Glenn Chamandy : Right now we said in our last call is that we’re continuing to go forward with Rio Nance four so we’re building that facility out. And its coming online for 2010. And what Laurence said is that we have the ability to make incremental expansion to take our capacity up significantly from where it is now by adding some equipment in the Dominican Republic and we’ll continue to evaluate market conditions to decide what we’ll do with Rio Nance five as we go through into 2010.
Doug Cooper - Paradigm Capital Inc.: And finally market share down sequentially as you mentioned and I think fleece I notice was down, was at 52.7, I think if my numbers are right it was 56 in the last quarter, who in particular took that share, do you think.
Glenn Chamandy : First of all our share is down from last quarter but its still up year over year in all categories and basically what happened was is that the share was taken from brands that just had inventory available in the market so we’d rather not say who it was but we’re very optimistic of our brand and our position in the market and we believe that we’ll continue our momentum in gaining share in subsequent quarters.
Laurence Sellyn : And we have our orders in place to support our fleece projections for the fourth quarter.
Doug Cooper - Paradigm Capital Inc.: You said market recovery of every 1% change is 300,000 dozen to Gildan, is that correct.
Glenn Chamandy : Yes for every 1% the market recovers its 300,000 dozens.
Doug Cooper - Paradigm Capital Inc.: And just to clarify the market year to date is down roughly on a unit basis 18%, on the calendar year.
Glenn Chamandy : Calendar year is 18%, yes.
Operator: Your next question comes from the line of David Glick - Buckingham Research
David Glick - Buckingham Research : I know its difficult to help us on 2010 I’m just trying to evaluate the trends as we close out the year on the top line, if you look at the trends from Q1 which were down in the mid 20’s, improved to down roughly 17 in Q2 and if you factor out the extra week in Q3, and assume all weeks are equal, it looks like it was down about 12%, 13% or so. Should we expect the trends to continue to be less negative into Q4 and is it possible we could see even flattish sales given the fleece shift from Q3 to Q4. I would think that those trends would continue to become less negative. Any color on that and direction would be very helpful.
Laurence Sellyn : Well again, while we want to be helpful we also don’t want to provide guidance. What we can say is that we ourselves continue to plan on the basis of negative view of the overall economic recovery. We’ve said that all along. And what will drive our growth will be our own initiatives in terms of market share in our existing markets, international expansion, and our major thrust to go into retail and economic recovery will be on top of that. Having said that however, we are starting to overlap against very weak prior year comps. So that should certainly help the cadence of year over year declines in the market.
David Glick - Buckingham Research : And is it possible you could quantify that fleece shift in dozens from I guess I don’t know if it was Q2 to Q4, probably primarily Q3 to Q4, any help there would be appreciated.
Laurence Sellyn : You mean what our increase in fleece shipments will be in Q4 versus Q3?
David Glick - Buckingham Research : In other words the number, the dozens that were pushed out because you weren’t offering the same terms to your wholesale customers.
Laurence Sellyn : I think probably the only thing that we can say to provide any help is that the impacts are more favorable product mix in Q4 versus Q3 should be in the order of a couple of percent of impact on margin.
Operator: Your next question comes from the line of Omar Saad – Credit Suisse
Omar Saad – Credit Suisse: Congratulations on really managing your P&L well in this difficult period. Quick question, with the retail programs that you’re thinking about for next year, when are you going to start to build inventories ahead of that or is some of that in your inventory position today allocated for some of those new programs that you expect to get in the next fiscal year.
Laurence Sellyn : Unfortunately we’re just really don’t want to go down this path right now. We’re obviously confident with what we can and think we will achieve in retail that will impact us positively in year and in 2010. But we just don’t want to compromise ourselves by providing information at this point and I guess when we’ll talk about specific programs is when we’re close to shipment.
Glenn Chamandy : And we’re still focusing on bringing our inventories in line with, at the end of 2009 to be similar to 2008 in terms of a dollar value.
Omar Saad – Credit Suisse: No, I totally understand. Thinking about the screen print market and that channel right now, it looks like the, if you look at industry data that you provide and industry unit growth, we’re still kind of in that mid to high teens range down year over year. Do you have any insight into that market and any updated thoughts on when, do you think the trough is behind us or are you just still going under the assumption that we’re kind of at this run rate where the industry unit volumes will remain down in the teens in the coming quarters and year.
Laurence Sellyn : Well I guess that’s similar question to what David was just asking. I guess the two things were, three things we’re saying is one, we’re not planning and forecasting on the basis of economic recovery. Secondly we should see better comps because you’re starting to overlap with bad prior year comps, particularly in the December quarter when the market was down close to 20%. And thirdly what we’re basing our growth projections on is our own sales growth initiatives rather then recovery in the market which will be an upside if it happens.
Omar Saad – Credit Suisse: But in the way you think about the market its [exempt] that there’s an economic recovery, i.e. we’ll return to GDP growth and kind of globally especially in the US, does that translate into the markets, the screen print market, help me understand the correlation to an economic recovery of the industry to the correlation to kind of global macroeconomic recovery.
Glenn Chamandy : Well typically even the print industry hasn’t had this type of severe downturn since, in our 15 years in the industry and during the last recession the industry was down roughly 3.5%, 4% and then rebounded completely the year after. Last year in 2008 for the full year the market was tracking around 3% through September and then when we fell off a cliff basically in Q4, we ended up down roughly 5% for the year. And subsequently we had the last Q1 and Q2 being relatively negative. So we don’t and have never seen the severity of a downturn so hopefully we’ll come back like other recessions and bounce back as the economy recovers.
Laurence Sellyn : Obviously the impact of the economic recovery is very material because just going through the impacts in this one quarter the impact of the market decline on our own sales was 1.5 million dozens and then as we said earlier, on top of the increase in the end use demand if there’s an economic recovery you’ll obviously have replenishment by distributors to service the increased end use demand. And you’d probably have upward pressure on pricing as well due to the more favorable supply/demand balance in the industry.
Omar Saad – Credit Suisse: So looking at the some of the restocking, using your assumption that the macro environment stays the same and that will be icing on the cake if it comes, but assuming your assumptions that the macro environment kind of remains where we are now, from that perspective is the restocking into the channel, is that over at this point, or is there still more restocking that needs to be done to meet the level of demands that you’re seeing now in the market.
Glenn Chamandy : Well on a year over year basis for next year what we’re saying is that the restocking of three million dozens will occur based on 2008 sales. So therefore the actual distributor sold to screen printers three million dozens more to the screen printers then we actually sold to the distributors and reduced our inventories by three million. So if sales are flat next year on a year over year basis we will increase our shipments to distributor by three million if the industry is flat.
Operator: Your next question comes from the line of Claude Proulx - BMO Capital Markets
Claude Proulx - BMO Capital Markets: The gross margin, the slight increase in gross margin from Q3 to Q4 does it include the down time that you’ve mentioned the same as in Q3.
Laurence Sellyn : Yes.
Claude Proulx - BMO Capital Markets: Fiscal 2010 is only what six, seven weeks away, would you expect to start the year with producing at full capacity and then I guess as the year progress, you’ll see if you need to take down time or not.
Glenn Chamandy : We’re running at relatively close capacity now so we’re going to run at the same type of levels we are now and the answer is yes.
Laurence Sellyn : How much down time we take obviously will be a function of our sales for next year.
Operator: Your next question comes from the line of Vishal Shreedhar - UBS
Vishal Shreedhar - UBS: Can you talk about your 2.6% decline in pricing, is that broad based, is that across one category more than the other.
Glenn Chamandy : Its pretty well across the board. Its spread out I think pretty evenly amongst all the product categories.
Vishal Shreedhar - UBS: Does your greater shipment of irregularities, does that have anything to do with that as well. You said you had more irregular shipped in the quarter, does that have anything to do with the decline in pricing.
Laurence Sellyn : No, that had a little bit of an impact on the margin and the mix.
Glenn Chamandy : And our inventories are right now in line in the irregulars so that won’t occur as we go forward.
Vishal Shreedhar – UBS: One of your peers talked about gaining share in the wholesale screen print market, I’m just wondering if that signifies increased competition. I think previously you had the exclusive [term] of gaining share at least in that market.
Laurence Sellyn : I don’t think we want to comment on what our competitors are doing. We’ve explained the movements in our share and we’re up significantly from last year and any sequential decline we had from Q2 related to short-term factors in terms of replenishing Broder and we continue to be comfortable with meeting the market share objectives that we’ve indicated before.
Vishal Shreedhar - UBS: In your retail program, particularly branded, how do you feel about that business, do you think the branded business is gaining traction like you’re talking about the private label business? Do you view them differently?
Glenn Chamandy : No but what we’re focusing in our branded business is selling to some of the small more regional retailers and is doing very well.
Vishal Shreedhar - UBS: So how do we think about branded over the course of 2010. Do we think that business grows as well or is that just incremental growth and we look more at the private label side?
Glenn Chamandy : Well there’s also, look at the regional retailers obviously in terms of their over unit volume are not going to make a major impact in terms of dollars sales relative to big mass retailers, but proportionately they’re going to grow significantly as well.
Vishal Shreedhar - UBS: Have any of your branded retailers, the retailers that you sell branded product to right now, are they looking at switching into private label.
Glenn Chamandy : I’d rather not comment on that right now to be honest with you but the largest program we have right now in our branded retail program is with [All General] and that program comes due in March and then we’ll decide how they’re going to position the brand at that time.
Laurence Sellyn : Remember also that what we’re seeing is retailers upgrading private label brands and introducing visible private label brands.
Operator: Your next question comes from the line of Scott Rattee – Blackmont Capital
Scott Rattee – Blackmont Capital : Obviously a lot of focus on the mass market retail but I know that you’ve built out the screen print direct channel sales force and I was wondering if you could sort of give some color on the traction in that specific part of the overall market segment.
Glenn Chamandy : Well that market segment is actually supplying private label to branded screen printers and we’re growing our sales there and like I said before, we made significant traction this year. That part of our business will be up significantly and next year we plan to expand that by approximately a million dozen.
Scott Rattee – Blackmont Capital : And on the SG&A line, I know that one of the things that you’d mentioned was a bit of negative, of the audit fees, would you be able to quantify what that impact was.
Laurence Sellyn : I think I said legal fees not audit fees and that, in the big scheme of things that wasn’t material.
Scott Rattee – Blackmont Capital : Okay so is that something that we’d also sort of see in that line going forward from here or is that sort of represents the completion of it.
Laurence Sellyn : I would say that what there is which might be in the order of a million dollars or so, barring anything unforeseen would not continue.
Operator: Your next question comes from the line of Jim Duffy – Thomas Weisel Partners
Jim Duffy – Thomas Weisel Partners : What were the production issues that suppressed the inventories a year ago?
Laurence Sellyn : We had production issues in our Dominican Republic facility a year ago that were resolved in the second half of the year. But they did significantly impact our sales and cost structure last year.
Jim Duffy – Thomas Weisel Partners : And then what’s the year to year trend in average cost per unit in the inventory, presumably its down with cotton costs coming down.
Laurence Sellyn : Yes that’s why you see the improvement in our gross margins. We’ve consumed all of our inventory that was manufactured when cotton and energy costs were at their peak and as you go forward you see lower costs in inventory that roll into our cost of sales and at the present time all of our factories are running very efficiently.
Jim Duffy – Thomas Weisel Partners : And so inventories are up 17% year to year on a dollar basis what type of increase are we looking at on a unit basis, presumably what, 10 percentage points or so higher then that.
Laurence Sellyn : Well the retail inventories are down compared with last year and there is an increase in our wholesale inventories compared with a year ago when we did have low inventory levels because of the manufacturing issues we had at that time. And the impact of this is, the impact of the higher wholesale inventories in dozens are largely offset by the combination of the lower retail inventories, the lower cost inventory and also lower work in process in our pipeline as we’ve managed our inventories through taking some down time.
Jim Duffy – Thomas Weisel Partners : But that’s on a dollar basis, correct. So what I’m talking about is if your inventories on a dollar basis are up 17% year to year what’s the increase on a unit basis. Laurence Sellyn I don’t want to give you the exact unit number—
Glenn Chamandy : Maybe to just focus on the end of the year basically our inventories will be, retail inventories will be down slightly, wholesale inventories will be up but the wholesale inventories will be up in units. We are probably about 3.5 million dozens short of inventory at the end of 2008 to support our business on a go forward basis. And so basically the overall dollar value will be similar in 2009 over 2008 with a better mix and better complexity of all the different moving pieces and we feel very comfortable about our positioning as we go forward into next year.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Sophie Argiriou: We’d like to thank you all once again for joining us this morning and we look forward to talking to you again at our next earnings conference call. Good day.